Operator: Good morning, ladies and gentlemen, and thank you for standing by. Welcome to the SeaWorld Entertainment’s Fourth Quarter 2018 Financial Results Conference Call. My name is Laura and I will be your conference operator today. At this time all participants are in a listen-only mode. After conducting the prepared remarks, the management team from SeaWorld will conduct a question-and-answer session and conference participants will be given instructions at that time. As a reminder this conference call is being recorded. I would now like to turn the conference call over to Matthew Stroud, Vice President of Investor Relations. Please go ahead, sir.
Matthew Stroud: Thank you and good morning, everyone. Welcome to SeaWorld's fourth quarter and fiscal 2018 earnings conference call. Today's call is being webcast and recorded. A press release was issued this morning and is available on our Investor Relations website at www.seaworldinvestors.com. Replay information for this call can be found in the press release and will be available on our website following the call. Joining me this morning are Gus Antorcha, Chief Executive Officer; John Reilly, Chief Operating Officer and Marc Swanson, Chief Financial Officer. This morning, we will review our fourth quarter and fiscal 2018 financial results and then we will open up the call to your questions. Before we begin, I would like to remind everyone that our comments today will contain forward-looking statements within the meaning of the federal securities laws. These statements are subject to a number of risks and uncertainties that could cause actual results to be materially different from those forward-looking statements, including those identified in the Risk Factors section of our Annual Report on Form 10-K and quarterly reports on Form 10-Q filed with the Securities and Exchange Commission. These factors may be updated from time-to-time and will be posted in our filings with the SEC and made available on our website. We undertake no obligation to update any forward-looking statements. In addition, on the call we will reference adjusted EBITDA and free cash flow, which are non-GAAP financial measures. More information regarding our forward-looking statements and reconciliations of adjusted EBITDA and free cash flow to the most comparable GAAP measures is included in our earnings release available on our website and can also be found in our filings with the SEC. Now, I would like to turn the call over to Gus Antorcha. Gus?
Gus Antorcha: Thank you, Matthew, good morning everyone and thank you for joining us. I'm thrilled to be here with all of you today and have joined this outstanding company. This company owns and operates an irreplaceable portfolio of incredibly valuable assets and brands that provide guests with highly differentiated inspiring experiences. We have an outstanding group of dedicated employees from our ambassadors, veterinarians, zoologists and animal care specialists in our parks to our park support center, with so much opportunity in front of us. Together the team and I have a clear focus on continuing to improve execution, enhance the guest experience and grow revenue, profitability and free cash flow. I'm truly excited to be working with this talented group of people to enhance and accelerate these efforts and help realize the full potential of this business. Our strategy of evolving and significantly improving our pricing and marketing and communications execution, as well as, introducing compelling new rides, attractions and events in every park, every year, while relentlessly focusing on costs and capital efficiency is not changing. Our fourth quarter and fiscal year results are evidence that this strategy is working, but we know we have opportunity for additional improvements. John will discuss our strong fourth quarter results and successful holiday season. Marc will then discuss our financial results in more detail after which I'll offer some final comment. John?
John Reilly: Thanks Gus. We are pleased to report strong fourth quarter financial results. For the fourth consecutive quarter, we saw growth in attendance in-park per capita spending, revenue and adjusted EBITDA. We believe that these results were driven primarily by our new pricing strategies, new marketing and communications initiatives and the positive reception of our new rides, attractions and events. We are particularly pleased with our fourth quarter attendance growth, which we believe was given in part by our calendar of popular events. This quarter our successful events included Halloween Spooktacular and Howl-O-Scream, along with ChristmasTown and Christmas celebration at our theme parks. Attendance in the fourth quarter also benefited from the expansion of special event days for our Christmas event in some of our parks. We believe with some of the best theme park offerings in the world, representing outstanding value for consumers. We continued to see growth in season pass sales, which has been an important strategic focus for us. We believe our season pass offerings provide some of the best value in the industry. We saw strong pass sales in the fourth quarter, following the launch of our 2019 season pass program, which was redesigned to provide more value, flexibility and some of the best benefits we've offered. We believe we're doing a better job of communicating the highly compelling value of pass offerings provided to our guests. We have significant scope to improve our pass phase and to increase loyalty among our guests and the predictability and recurring nature of our revenues. We believe 2019 will be the company's most exciting year ever for new attractions, with brand new one of a kind rides and experiences coming to every market, providing many reasons to visit our parks over and over again. We are also pleased with our growth in in-park per capita spending, which showed an increase again this quarter. We have continued to optimize and refine our pricing strategies over the course of this year to drive strong growth in attendance and total revenue. As we emphasized throughout 2018, we have been focused on driving total revenue. Our strategies in 2018 resulted in strong growth in in-park per capita, modest declines in admissions per capita and strong overall growth in revenue. You can expect us to further refine our pricing strategies in 2019 to continue to drive total revenue, which we expect over the course of the year, particularly as we get to the back half of the year and lap certain strategies from 2018. We’ll ultimately lead to increases in both in-park per capita, and admissions per capita. We continue to see the benefits from our expense reduction efforts and our enhanced culture of efficiency and we are working diligently to identify and execute on additional cost efficiencies that will flow directly to adjusted EBITDA. As I mentioned previously, we believe 2019 will be the company's biggest year ever for new attractions with brand new rides, attractions or events coming to almost every 1 of our 12 parks. Let me take a few minutes to remind everyone what’s coming in 2019. At Busch Gardens Tampa Bay we will introduce Florida's tallest launch coaster, Tigris. A triple launch steel coaster that will catapult riders through an exhilarating array of looping twists with forward and backward motion, breathtaking drops, 150 foot skyward surge and inverted heartline roll, all at more than 60 miles per hour. And the 60th anniversary celebration, commemorating 60 years of fun with 52 weeks of events, including a year round free beer promotion for guests, 21 years of age or older. At SeaWorld Orlando, families will be able to walk down Sesame Street for the very first time, as we open Sesame Street at the SeaWorld Orlando. An immersive new land that will feature exciting rides, wet and dry play areas and interactive experiences, designed to entertain the entire family, including a daily party on Sesame Street and SeaWorld Orlando’s first ever parade. I've been out to the construction site several times over the past few weeks and I'm very excited about this new attraction. It'll be a guest favorite when it opens at schedule this spring. We also have an Infinity Falls, which opened in October, but will be new for many of our guests in the 2019 spring and summer seasons. We plan to feature both attractions in our communications to guests throughout this year. At Aquatica Orlando, we will introduce KareKare Curl, where riders will experience a high-adrenaline, weightless adventure as they climb a vertical wave wall. I also want to take a moment to recognize that Aquatica Orlando recently became the first water park in the world to become a certified autism center. In addition, Discovery Cove has also recently become a certified autism center. These two parks join Sesame Place in receiving this important designation and we look forward to offering safe, meaningful and inclusive activities for guests with autism or other special needs At SeaWorld San Diego, we announced the Tidal Twister, the first of its kind dueling roller coaster, its coming to the park in spring of 2019. This coaster accelerates riders as they twist and bank just as if they are riding the tide along a tight figure-8 track that includes a dynamic roll at the center. At SeaWorld San Antonio, we're opening three new unique and exciting attractions. First, Turtle Reef will be a one of a kind interactive sea turtle attraction that will give guests an upclose look at live threatened and endangered sea turtles. Second, Sea Swinger will be one of the tallest, fastest and most thrilling swing rides in the entire state of Texas. And third, Riptide Rescue will provide our younger guests and families, an opportunity to board a rescue boat and set out on their own sea turtle rescue mission. At Aquatica San Antonio, we will open even Ihu's Breakaway Falls, a vertical one of a kind multi-drop tower slide, the steepest in Texas, where riders will drop feet first through spiraling tubes until they reach the splash pool finale. At Bush Gardens Williamsburg, we will introduce Finnegan's Flyer, Virginia's first Screamin' Swing that will take riders up more than 80 feet at speeds reaching 45 miles per hour. At Water Country USA, we are opening Cutback Water Coaster, Virginia's first hybrid water coaster and the only rocket blast coaster on the east coast that will propel riders through tunnels, up and down steep hills and speed into the wide-open space of massive saucer-shaped features on over 850 feet of water slide. At Sesame Place, an all new Sesame Street neighborhood will be unveiled to reflect the reimagined vibrant set now seen on Sesame Street with brand new store fronts, including an updated Mister Hooper store and the iconic 123 stoop. Guests can take a stroll through Abby Cadabby's Garden and pose for a photo in Big Bird's Nest. The Sesame Street neighborhood will feature a brand new show starring for the first time ever the park, the Muppets from Sesame Street. Elmo, Abby Cadabby and Big Bird. And for the first time ever, guests will have the opportunity to meet Snuffleupagus. Guests will be able to meet and take photos with Snuffy and Big Bird throughout the spring and summer at Abby's Paradise Theater. We are really pleased with respect to our capital projects for the 2019 season. All of our rides and attractions are scheduled to open before the peak summer season. We are also excited about our lineup of new and enhanced events for 2019. Some of the biggest events include the celebration of Sesame Street’s 15th anniversary and the celebration of Busch Gardens Tampa Bay's 60th anniversary. While all of our theme parks will celebrate the 50th anniversary at Sesame Street, Sesame Place will be celebrating the season long anniversary with special events and activities throughout their season. We are pleased with our progress in 2018, but as we have mentioned we strongly believe there's additional opportunity to drive significantly improved financial performance. And we are intensely focused on continuing to execute as we head into the spring break season. With that, I'd like to turn the call over to Marc to discuss our financial results.
Marc Swanson: Thanks, John, and good morning everyone. As John mentioned, our fourth quarter financial results were strong. Fourth quarter attendance increased 8%. We believe that the improved attendance resulted from a combination of factors, including our new pricing strategies, new marketing and communications initiatives and the positive reception of our new rides, attractions and events, including the expansion of special event days for our Christmas events in some of our parks. During the quarter, we generated revenue of $280 million, an increase of $14.5 million or 5.5% compared to the fourth quarter of 2017. The increased in revenue results from the growth in attendance and in-park per capita spending, partially offset by decreased admissions per capita. We reported a net loss of $11.1 million, an improvement of $9.4 million compared to the fourth quarter of 2017. Net loss includes approximately $8.2 million of pre-tax expenses, associated with a loss on extinguishment of debt and write-off of discount and debt issuance cost. $2.5 million related to disposals associated with certain rides and equipment, which were removed from service and $1 million related to separation related costs. We reported adjusted EBITDA of $64.6 million, an improvement of $16.2 million or 33.4% compared to the prior year quarter. The adjusted EBITDA improvement was primarily driven by revenue increases due to growth in attendance, followed by cost efficiencies and the realization of cost savings initiatives. Fourth quarter total revenue per capita was $60.88 compared to $62.32 in the fourth quarter of 2017, driven primarily by a decrease in admissions per capita, partially offset by increased in-park per capita spending. The decline in admissions per capita, primarily results from the impact of new pricing strategies and visitation mix. We continue to make solid progress on the expense reduction front, as evidenced by our spending and adjusted EBITDA margin. In 2018, we identified significant opportunities that we began to execute on to streamline our business, reduce redundant expenses and operate more efficiently. We will continue to look for additional cost savings opportunities in 2019. Looking at our results for fiscal 2018, total revenue was $1.37 billion, an increase of $109 million or 8.6%. Total attendance was approximately 22.6 million guests, an increase of nearly 1.8 million guests or 8.6%, driven by a combination of factors including our new pricing strategies, new marketing and communications initiatives and the positive reception of our new rides, attractions and events. Net income for the year was $44.8 million, an increase of $247.2 million. Adjusted EBITDA was $401.3 million, an improvement of $103.9 million or 35%. Fiscal 2018 total revenue per capita was $60.77 compared to $60.74 in 2017, driven by an increase in-park per capita spending, partially offset by a decrease in admissions per capita. The decline in admissions per capita, primarily results from the impact of new pricing strategies. Net income for fiscal 2018, includes approximately $54 million of certain pre-tax expenses as described in our earnings release. Net loss in fiscal 2017 includes approximately $301.4 million of pre-tax expenses, primarily associated with a non-cash goodwill impairment charge of $269.3 million and other items described in earnings release. Our adjusted EBITDA calculation reflects certain add back adjustments as allowed in the company’s new credit agreement, as noted in the table in our earnings release. Now turning to our balance sheet, our current deferred revenue balance as of December 31, 2018 was $101.1 million, an increase of approximately 27% when compared to prior year. As noted in this morning's earnings release, our not leverage ratio was 3.58x adjusted EBITDA for the 12 months ended December 31, 2018. As we previously announced on October 31, 2018, we successfully refinanced and amended our credit facilities. This transaction among other things extended our term loan and revolving credit facility maturities, eliminated almost all financial covenants and generally provides the company with more financial flexibility. As noted in our press release this morning, we were purchased approximately 3.65 million shares of common stock for a total cost of approximately $98 million during the fourth quarter. All of the repurchase shares were held as treasury shares at December 31, 2018. As of December 31, 2018, we had approximately $92 million available for future repurchases under a previously authorized share repurchase program. On February 22, 2019, our board of directors approved a replenishment to our share repurchase program of $158 million, bringing the total authorized repurchased amount to $250 million. The number of shares to be purchased and the timing of purchases will be based onto our trading windows and available liquidity, general business and marketing conditions and other factors, including legal requirements and alternative opportunities. As we think about the first quarter, we remind people that the Easter season shifts later into the second quarter this year from the first and second quarter in 2018, which will affect the compatibility of the first two quarters of this year compared to last year. I’ll conclude by saying, we are pleased with our strong financial performance in 2018. However, we strongly believe we have significant opportunity for further improvement. We will continue to focus on driving additional attendance in revenue, while reducing unnecessary costs and continuing to identify more efficient ways to operate our business. Our fiscal 2018 results clearly indicate we are making progress and give us additional confidence that we are on our way to achieving our 2020 goal of delivering $475 million to $500 million of adjusted EBITDA. Now, let me turn the call back over the Gus who will share some additional thoughts.
Gus Antorcha: Thank you, Marc. Before we open the call to your questions, I have some closing comments. As many of you know, we're one of the world's leading animal rescue organizations and we're proud of our efforts to protect and save wildlife, including more than 34,000 animals rescued in total. During the fourth quarter, we helped to rescue over 400 animals. In 2018, we helped rescue over 2,600 animals and it is our hope and expectation that our actions also inspire our guests to consider and protect animals in the wild wonders of our world, it’s one of the many reasons I decided to join SeaWorld. I love the fact that this company does so much for animals and our environment. Another reason I joined this company is the outstanding team of ambassadors and leaders in all of our parks who are committed to our success. My personal due diligence, I spend a lot of time in the parks. I was beyond impressed with the ambassadors I interacted with, seeing firsthand their commitment to provide exceptional service and meaningful experiences to our guests. We have a terrific team of employees and I'm excited and honored to be working with them. If you've heard from the management team today we're confident innovation the direction we're heading. If you've heard from the management team today, we're confident in the direction we're heading and are encouraged by the results we’re seeing in our business. Our confidence extends to our long-term view and the significantly improved financial performance we strongly believe, this company can deliver over the next two years and beyond. Let me reiterate, our strategy is unchanged. We have an exceptional business model. We're focused on improving our execution with more effective pricing strategies, enhanced marketing and communications initiative, as well as, the introduction of compelling new rides, attractions and events in every park every year. We will continue to identify and execute on cost and capital efficiency initiatives that we expect will contribute meaningfully to improve margins and profitability. Through these efforts we believe we will deliver revenue and attendance growth that will result in meaningful increased shareholder value. We're excited about the future and we look forward to sharing our progress with you. Now let's take your questions.
Operator: [Operator Instructions] Our first question comes from Steven Wieczynski of Stifel.
Steven Wieczynski: Yeah, hey, guys, good morning and congratulations on the strong fourth quarter. I guess, the question is kind of still around the long-term guidance and when we look at some of the drivers that are, that you got laid out back in August that go into that guidance whether it's kind of low single digit attendance growth or on the costs savings. It seems like at this point, you guys are trending, well ahead of some of those metrics. So, I guess, what I'm getting at here is, are a lot of those drivers still realistic at this point?
Marc Swanson: Hey, Steve, it's Marc, I can take that question. I mean, we’re obviously, really pleased with our performance in 2018. Well, we know we still have work to do and we're really confident in achieving that goal in 2020. We're early into this year, but have a lot of confidence that we will reach that goal that we laid out for 2020. You know, we laid out a couple of different ways. We said there's a couple of different ways to get there. To your point, we're doing really well on the attendance. We saw some opportunities in per caps. We're also achieving our cost savings, but we believe there's opportunities there. So, what I'll tell you is we just have a lot of confidence going forward that we will get to that goal.
Steven Wieczynski: Okay. Got you. And then in terms of the admission per caps, John, if I heard you right. Did you say that you guys are kind of still expecting those will be down in the first half of the year and then it'll start to accelerate again in the second half? Did I hear that right?
John Reilly: Yeah, good morning, Steve. The way we think about our per cap performance and total revenue performance, it's really to just start with total revenue and we're going to make the right decisions to drive total revenue and I'll talk through the components here. But overall, we're very pleased with the strong Q4 revenue growth and with the full year 2018 revenue growth. As we said, we believe pricing can be a key component of our growth going forward. We did see growth in in-park per cap and we did see some decline in admissions revenue. And I think what we can expect is that as we lap some of the strategies that we implemented later in the year last year. We believe we have considerably more opportunity to drive per caps going forward. And so we feel good about our opportunity do this. We're going to continue to test and learn and we're optimistic that that we have we're going to have the ability to drive per caps along with the total revenue overtime. And I’d say overall, we're pleased with what we were able to do in 2018. We held the per cap of over $60 and we’re able to grow revenue, $109 million with really strong flow through. So, it's a really good start, but there's considerable opportunity to optimize as we go forward.
Steven Wieczynski: Okay. Got you and last question would be for Gus. And welcome Gus, obviously and you talked a little bit about why you took the job and what attracted you to SeaWorld. But I guess from my perspective, you’re obviously from Carnival Cruise Lines, which is another consumer outreach company. And you were responsible for yield management and costs savings. I guess, what I'm getting at here is what can you bring from the Carnival side of things over to SeaWorld.
Gus Antorcha: Thanks, Steve. I mean, a few different things, I think. As you know what I can from Carnival. I think that's an organization with a similar business model. Leisure space, consumer-driven, but it really has work class execution. And Carnival has been a leader in the leisure industry working on executing on some of the same topics we’ve outlined here that are core to our strategy. And my work there really hit on all the key areas, starting from capital. I deployed capital making sure, generating and working on features that are going to drive demand. Marketing, its telling, yes, about features, rides, experiences. And then pricing, how do you capture that demand. And ultimately, cost, you got to be disciplined on cost. So, as you get more demand and then as you work on pricing, you're expanding your margins. And so the work there in detail, I worked on all these all these areas. And I feel we have a great team, but at the same time, the experience gives me a lot to add and I'm excited to jump in.
Operator: And the next question will come from Alexia Quadrani of JPMorgan.
Anna Lizzul: Hi, this is Anna Lizzul on for Alexia. Thanks for the question. My question is on the Easter shift that you mentioned on the call today. Could you provide any more specific information about the impact from timing of Easter this year, given that the week before and after the holiday fall in Q2 versus the split last year between Q1 and Q2?
Marc Swanson: Yeah, hey Anna, it's Marc. I can take that question. So, you're right Easter shifts from April 1 of 2018 to April 21st this year, so the Easter season squarely falls in Q2. We see that shift and we looking at calendar, as we look at school breaks and we try to estimate this as best we can obviously, but it is an estimate. But we would expect to shift in the neighborhood of 120,000 to 145,000 people, shifting out of Q1 into Q2. I will say it's muted a little bit by an additional weekend day in Q1 with Q1 ending on a Sunday. So, if you net that Easter kind of shift and the calendar benefit and that’s to maybe 40,000 to 65000 people.
Operator: The next question comes for Michael Swartz of SunTrust.
Michael Swartz: Yeah, good morning, everyone. Just a point of clarification as I’m looking through the press release. I guess, maybe this is for Marc. The adjusted EBITDA including the costs savings. I'm understanding that as to mean, it would include the benefit from some of the actions taken in 2018. Is that a number that we should be looking at more as a base going into 2019, if you took no other cost reduction actions, is that the right way to think about that?
Marc Swanson: Yeah, what I’d say Michael is the way to think about that is and there's a pretty footnote in the table in the press release, but basically its actions that we've taken or identified or actions we've taken that we expect to realize over the next 18 months. And so you know in our case it's about $23.4 million, so those are actions that we've taken that we would realize over the next 18 months.
Michael Swartz: Okay. So, theoretically some of that could fall into 2020?
Marc Swanson: Yeah.
Michael Swartz: Okay. Okay. Perfect. And then another one on profitability, if we look at just, I guess, the incremental flow through in 2018, the profit flow through was actually greater than the incremental revenue you generated. So, I guess, we can't necessarily bank on that longer term. But the question would just be how do you think about longer term incremental margins in this business, given some of the changes you've made to the underlying cost structure?
Marc Swanson: Yeah, hey Michael. This is Marc, I can take that question. So, if you look at our 2020 goal that we’ve laid out a $475 million to $500 million and you kind of take the different – the low, the mid and the high that would imply margins in the kind of the almost 34% to almost 35% range. So, that's part of our 2020 goal, so we would move the margins considerably from where they are today. Beyond that, I think our next goal, once we achieve our current plan, but obviously we want to continue to improve on those margins. So, we're not going to necessarily stop just because we reached our goal. We have a continuous culture of efficiency.
Gus Antorcha: Well, one thing I might add Marc is you know over the long-term because that's what you're referencing Michael, I think, where are the margin gap with competitors and we're going to work on closing that now in the short-term, I would agree with Marc, but in the long-term, we need to close that gap.
Michael Swartz: Okay. And then, just one final one for me, on CapEx, I mean, how do we think about that, I guess, both in 2019 and beyond, any changes versus maybe some of your prior commentary there.
John Reilly: Yeah, Michael, this is John. As we announced last year, we have a revamped capital strategy and the goal of that strategy was to execute our projects more efficiently, to have projects that are more appealing and drive more attendance and are more marketable for our consumers and we feel really good about that. So, we’ve got something new and marketable in every market and a goal to have something new and marketable in every park. I'm really excited about the line up in 2019. At 2021 we have plan, I think, it's the best line up that I've seen. So, we take in, what we did is we took a run rate of around 170 million to 180 million and we shook out the waste. We challenged the projects. We reduced concentration and gap years, we challenged our spend, we worked with our vendors, looked at our methods and we've got that down to 150. So, that 150 is our base capital plan going forward and we feel really well positioned. That said like with any business, we’ll deploy our cash with the highest return to maximize the performance of the company and maximize the overall performance. So, as innovations or high return one-time projects emerge, we would certainly approve those above the base where it makes sense.
Michael Swartz: Okay. Great. That's helpful. Thanks guys.
John Reilly: Thank you.
Operator: And the next question comes from James Hardiman of Wedbush.
James Hardiman: Hi, good morning. Thanks for taking my call and congrats on a strong finish to the year. I wanted to talk about the ticket price strategy. I guess, first, can you maybe talk about how front gate prices compared to season's pass pricing, are you being more aggressive on one versus the other, maybe to increase those, that season pass penetration? And then maybe geographically are there parks where you’ve been more or less aggressive than other parks or is it pretty uniform across the portfolio?
John Reilly: Yeah, James, good morning. This is John. So, we believe we have broad opportunity across ticket products. So, we're making the right decision by product and by mix to drive total revenue, and we've seen the earlier results on that. But whether it’d be single day, multi-day or pass, we’re examining each of those ticket categories independently and we believe we have broad-based potential there. In terms of you know, we won't comment specifically by market, but certainly our discipline with regard to pricing, our innovations, that we’re deploying across the portfolio, set us to better position the values that we have to introduce the new pass line up with convenient monthly payments to better appeal to tourists. We feel we have an incredible value for people and as we said upside as we lap the back half of the year. The thing I would also say is as we look at leading indicators about the potential success of our power pricing strategies. Marc mentioned earlier that the current portion of our deferred revenues is over 27% and we see that as a positive leading indicator and we believe that positions us well going into the year.
James Hardiman: That's helpful. But I guess, my bigger picture question is maybe, what's the stickiness of all of the attendance games that you achieved in 2018? And it is part of the calculus that you're doing with the seasons pass based on the notion that you're going to have a number of competitive attractions that come online late this year and into next. I didn’t know if that factored into how you think about getting more and more people, as part of your seasons pass based that they'll continue to come to your parks even throughout that period?
John Reilly: Yes, certainly, the pass strategy is a major strategic focus for us and we’re enthusiastic about what we rolled out in October, where we have the best benefits line up that I think I've seen. We have tremendous value, we have convenient monthly payments. We've got great affordability. So, the pass strategy is key to our performance and we believe there's considerable opportunity for growth there. As we said, we're up double digits, we’re pleased with the rollout, but there's room for optimization going forward. But I wouldn't limit what we're doing in terms of admissions pricing, solely to the pass category. We think that there are opportunities as well with tourists and with international visitors as well.
Marc Swanson: And James, this is Marc, what I would add, and you heard John talk about this in his prepared remarks, is again we're doing all this with coming into a great attraction year. So, there's a lot of good reasons and a lot of exciting reasons to visit our parks and coupled with the past program that John talked about all that taken together, I think it gives us a lot of confidence that that attendance is sticky and will remain. We’re giving people a great value and we're giving them some exciting reasons to visit our parks.
James Hardiman: Excellent. Thanks guys.
Operator: And next we have a question from Tim Conder of Wells Fargo.
Tim Conder: Thank you. First of all, John, Marc and the team, congrats on the great execution for the full year. Gus welcome aboard, we hear good things about you from your former colleagues at Carnival. Look forward to working with you. First of all, I want to apologize in advance if a couple of my questions are repetitive from your preamble. But I want to follow-on a little bit on the overall admissions component here. Can you give us a little bit of a breakdown if you hadn’t already, and again I apologize of the season pass, is that representative of your total attendance? Was that change year-over-year? And then also here on the deferred revenue in season pass, there’s a little commentary on units versus dollars that you're seeing there grow?
Marc Swanson: Hey, Tim, it's Marc, I can take your question. Look, as far as the deferred revenue, as we mentioned approximately 27% driven mainly by season pass sales. So, we're excited to have that. And the next, in the fourth quarter we did see an increase in the season pass mix. You know, typically we run as we’ve said before in kind of the 40% range season pass visitation. It was probably about 200 basis points higher in the fourth quarter. So, a little more pass to visitation, but I think it plays well with the emphasis we have on pass. But also the strength of our events, Halloween and Christmas in Q4.
Tim Conder: Well, and I guess, a little bit more color on that, on the deferred. Can you give any rough idea what units were? And then on a full year basis, the season pass’ representation of total attendance, comparatively year-over-year?
Marc Swanson: Yeah, I mean, we don't typically break out the units. I mean, I think at the end of the year, like the sales revenue from passes was up, as we said double digits. I think you can infer then the units had to be pretty strong as well. Again the percent of pass visitation throughout the course of a year generally, I guess, that is in 40% range, it can vary by quarter a little bit, especially in the quarters that are more kind of in the shoulder season, where we have more local visitation. But I think we'll continue to look to optimize our pass program and that could grow, obviously, overtime.
Tim Conder: Okay. And then you talked about opportunities with international and a little bit of concerns, just given where the currencies have been. You said you guys are taking some additional approaches, some different approaches than what's happened in the past to address how that can sometimes impact visitations from the U.K. in Brazil, in particular. Just any update on that? And have you seen any changes and trends during Q4, very early Q1 here from, in particular, the U.K, Brazil visitation?
John Reilly: Yeah, Tim, thanks. This is John. On the international front, we’re pleased our attendance was up for both Q4 and for the full year. And you know we don't control currencies or political issues in the areas where we sell tickets and market our products. But we do control our own execution, so we see the attendance as a positive development. But the same strategic focus that we're executing in the U.S. domestically with enhanced marketing and communications initiatives, with our compelling lineup of new attractions, we believe we’ll drive more demand internationally with improved execution. So, we’re pleased with some initial progress on this front and we feel good about it. And the deferred does give us some insights into international as well.
Tim Conder: Okay. And again, we don't get too hung up in the per caps, so it's nice to hear your focus just on the revenue and the attendance in the EBITDA and what the per caps forward they may, but – so thank you for that. And again thank you for the great execution.
Operator: [Operator Instructions] Our next question will come from Brett Andress of KeyBanc Capital Markets.
Brett Andress: Hey, good morning. Gus welcome aboard. One quick one and maybe I missed this, but did you have any update on the Sesame Street construction. I guess when could we see that open? And then also, in the past you know John, you've talked about pulling the timing of the openings of some of the attraction forward. So, I guess, with all of the new attraction that are coming for 2019. How are those schedules looking versus your expectations?
John Reilly: Yeah, so this is John and first on the 2019 and then we'll talk more specifically about Sesame. And I will say I think it was Gus’ second day, he wanted to walk out and see the Sesame construction in Orlando. And it's pretty incredible, I think there is, if you count all the interactions, all the character interactions, we’re going to have the parade, the party, the rides. There's like 30 experiences there, so we're all really excited. And Gus has been out there with me. So, we feel good about the lineup for 2019 and the way – I think one of the ways we think about that, Brett, everything is scheduled to open on time or early, and we expect everything will be opened before the peak summer season. So, we feel good about where we currently are with the schedule. And I think one of the things that gives us a lot of confidence and one of the things that’s helped with this revamp capital plan, is we're putting in a lot of proven concepts. We're doing them better than we've ever done number them with Tigris in Tampa, Turtle Reef in San Antonio, Ihu Falls in San Antonio, KareKare Curl at Aquatica. We have some amazing proven concepts that we’ve executed before. So, we feel really good about that. And then, of course, we have the Sesame celebration and the Sesame project in Orlando and a Sesame attraction at the new neighborhood in Langhorne. So, we feel good about our 2019 line up and we’re staying very close to it. With regards to the second Sesame Place park per our agreements with the workshop and per our extended licensing agreement, we feel really good about where we are and we're on time to execute that second property as scheduled and as we have more developments along that front we'll let you know Brett.
Brett Andress: Thank you. That's helpful and maybe just more specifically on the Sesame Place in Orlando. Is there a new target on that sometime early spring still?
John Reilly: Yeah, we feel like we're in really good shape and as soon as we have the opening date, we’ll make that announcement, but we're making a lot of progress there. We're also really excited about Orlando because Infinity Falls is going to be new to most of our visitors this year. So, we'll have Infinity Falls and Sesame Street, as two incredible new attractions. So, we feel very well positioned there.
Brett Andress: Thanks for calling there.
Operator: And this concludes our question-and-answer session. I would like to turn the conference back over to Gus Antorcha for any closing remarks.
Gus Antorcha: Thank you. Just quickly on behalf of John, Marc and the rest of the management team here at SeaWorld Entertainment, we want to thank you for joining us this morning. I also want to thank our employee ambassadors for their contributions to the strong performance in 2018 and their efforts everyday to further our mission to protect animals. We’re enthusiastic as you heard about 2019 and we look forward to talking with you more over the coming months. Thank you again.
Operator: The conference is now concluded. Thank you for attending today’s presentation. You may now disconnect.